Operator: Good day and welcome to the CEVA, Inc. Third Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note today's event is being recorded. I would now like to turn the conference over to Richard Kingston, Vice President, Market Intelligence, Investor and Public Relations. Please go ahead.
Richard Kingston: Thank you, Rocco. Good morning everyone and welcome to CEVA's third quarter 2023 earnings conference call. Joining me today on the call are Amir Panush, CEVA CEO; and Yaniv Arieli, CEVA CFO. Before handing over to Amir, I would like to remind everyone that today's discussions contain forward-looking statements that involve risks and uncertainties as well as assumptions that if they materialize or prove incorrect, could cause the results of CEVA to differ materially from those expressed or implied by such forward-looking statements and assumptions. Forward-looking statements include statements regarding the benefits and future financial impacts of the divestment of the Intrinsix business and related refocusing our core strengths of IP development and licensing, market trends and dynamics, our market position, strategy and growth drivers, including with respect to WiFi 7, demand for and benefits of our technologies, plans with respect to CEVA's share repurchase program, and expectations and financial guidance regarding future performance. CEVA assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. In addition, following the divestment of Intrinsix's business to Cadence, financial results from Intrinsix were transitioned to discontinued operations beginning in the third quarter of 2023, and all prior period financial results have been recast accordingly. We will also be discussing certain non-GAAP financial measures, which we believe provide a more meaningful analysis of our core operating results and comparison of quarterly results. A reconciliation of non-GAAP financial measures is included in the earnings release we issued this morning and in the SEC filings section of our Investor Relations website at investors.ceva-dsp.com. With that said, I'd like to turn the call over to Amir, who will review our business performance for the quarter and provide some insight into our ongoing business. Amir?
Amir Panush: Thank you, Richard. Welcome everyone and thank you for joining us today. Before I begin, I would like to address the situation in Israel following the horrifying attacks took place a month ago. This has been an extremely difficult and hard breaking time for all of us, and I would like to thank the many of you who have reached out to us for your support. Our priority at this time has been for the safety and well-being of our employees and their families, and we are doing everything we can do and to ensure we provide them with the support they need. In the midst of these adversities, our operation in Israel remain largely unaffected and we continue to drive our business and support our customers globally. I want to thank our employees in Israel and Board for all their efforts during this difficult time. Turning our attention to the business. Since being appointed CEO of CEVA at the beginning of the year, however, emphasize our need to focus our efforts on our key IP pillars, where we have built strong leadership with differentiated offerings and that are best suited to drive scale and synergies across our technologies globally. In the quarter, we took an important step in this strategy with our decision to strategically exit the US aerospace and defense design services industry and divest the Intrinsix business. When we acquired the Intrinsix business in 2021, our thesis was that it would help increase our presence in the US aerospace and defense industry and expand our offering to co-create IP SoC designs, leveraging the Intrinsix team. However, what became clear to me after joining is that the A&D industry doesn't offer product volumes that align with the IP royalty business model. And while the Intrinsix team has a legacy in the US aerospace and defense design service capabilities, these were not applicable to our global customer base. The sale of Intrinsix two cadence closed on October 2nd. For reference, in the first three quarters of 2023, Intrinsix contributed just shy of 10% of overall combined revenues, lower than our internal plans and with lower margins and lack of profitability compared to our core business. We expect the divestments of Intrinsix to be accretive for us from day one and return us to the 9% gross margins moving forward. Moreover, these divestments will allow us to drive stronger focus on our key strengths, namely wireless communications, edge AI and sensing software IP. Yaniv will elaborate on the financial impact of the divestments in his section shortly. Deposits from the sales will serve to help us to invest in our future growth, reinforce our leadership position as the world's number one supplier of wireless communication IP, and pursue the compelling opportunity we see in edge AI for our DSP and NPU platforms and sensing software IPs. I want to emphasize also that we will continue to offer system design support to customers globally, that wish to customize our IPs for their projects as we still see strong demand for cheap design expertise from our OEM customers, in particular, but we will not focus on a service-only type business model. Turning to our earnings. We delivered solid results with recovery in our IP licensing business. And if not, our deal pipeline is the strongest it has been this year. In royalties, we are encouraged by the second sequential quarter of royalty growth, shipping in 0.5 billion silver power devices. This robust level of CEVA-powered shipments is very encouraging. Its indicator of the strength of our customer base in winning business and taking advantage of the consumer demand recovery during the quarter. Moving on to our licensing and royalty business performance in the quarter. We signed 13 new licensing deals in the third quarter with exceptional demand and contribution from our wireless communications IP portfolio, where our leadership position is unrivaled in the industry. Recently, we reached the important milestone of passing $100 million in licensing revenues for our Bluetooth portfolio since it became a mature product. We added another nine licensing agreements for our Blue to five this quarter alone. Three of these customers also licensed our WiFi APs to develop wireless combo chips. One of them licensed our new WiFi 7 IP for access points, which carries a substantial ASP upfleet over the current generation WiFi 6 IP, both for licensing and royalty. WiFi 7 possesses a significant opportunity for us with ABI Research focusing and device shipments of WiFi 7 chipsets to grow at a CAGR of 75% from 2023 to 2028 and to more than 1.5 billion units annually. With close to 40 WiFi 6 licensing to date. We are the de facto IP vendor for WiFi in the industry. Each generation of WiFi becomes even more complex for chip designers and our ability to have leading-edge WiFi IP available in the same time frame as the WiFi standard is ratified means that we can enable our customers to get to market rapidly, with lower risk and more cost effectively. When you add in the fact that we can also provide the latest generation Bluetooth IP that is required in almost every use case today, not to mention our UWB and cellar IoT IPs. Our value proposition around wireless communication is exceptional. There is only a handful of companies in the world today that have a leading-edge wireless portfolio as comprehensive as ours, and we are the only IP company amongst the leaders. We are investing to expand our leadership and ensure our customers always receive the best-in-class latest standards IP to integrate connectivity into their chip designs. We expect 2024 WiFi licensing to be driven by WiFi 7 demand, while WiFi 6 royalties will experience meaningful growth in tandem. We will provide more color around our WiFi 6 and WiFi 7 status and opportunities on our upcoming Investor Day scheduled for December 6 in New York City. The other two WiFi combo deals signed in the quarter were for WiFi 6 for Smart Edge devices. One was we have a leading platform OEM in the electronic maker community, whose devices are widely used in education and prototyping who is expanding his offering by integrating WiFi 6 and Bluetooth. And the second deal was way a major designer and manufacturer of embedded systems. Other notable deals concluded in the quarter included new agreements for our leading-edge Bluetooth IP with a global OEM leader in hearing care solutions, and we have a leading player for hearables and wearables intelligent chips and a deal for our DSP targeting the high-growth satellite communications market. Now, on the royalties. We reported the second highest volume of civil power device shipments for any quarter in the company history, driven by a recovery in consumer demand. As evidenced from the strength of our wireless communications and licensing business in the past few years. Wireless chips continue to lead the way in terms of device shipments with Bluetooth chips in the quarter, surpassing 300 million units and cellular IoT shipments at an all-time high of more than 35 million units. An area of softness in the quarter was wireless infrastructure, where our main customers for 5G RAN reported weaker-than-anticipated 5G networks built. For our sensing and AI technologies, shipments of TVs, PCs and smart edge devices grew sequentially, including good traction for our audio technologies. To conclude, our business performed solidly in the third quarter, and we are encouraged by the healthy licensing pipeline that we are building for this quarter and beyond. In royalties, the 0.5 billion devices shipped in the quarter, powered by our IP reflects the ability of our strong customer base to win business and take advantage of the consumer demand recovery. With the sale of Intrinsix, we have taken an important step, which will allow us to fully focus on our core strengths of IP development and licensing, which is where we see the greatest opportunities for growth and value creation for our investors. In addition, reinforcing shareholder value, the Board of Directors decided to increase our existing 10b-18 repurchase program by additional 700,000 shares. Finally, we recently established a corporate strategy function at CEVA and appointed Iri Transhanski as our Chief Strategy Officer. Here is a result-driven semiconductor and technology executive and his experience and knowledge gained from more than 20 years in the semiconductor industry will be instrumental in defining our future strategy and help drive long-term growth. I look forward to seeing many of you at our Investor Day in New York on December 6, where we will plan to share our strategy and vision for CEVA and outline the growth drivers and opportunities in the years ahead. Now, let me turn over the call to Yaniv, who will review our third quarter financial results and provide fourth quarter and 2024 guidance.
Yaniv Arieli: Thank you, Amir and good day to all. Before I start reviewing the results of our operations for the third quarter of 2023, I want to explain that revenues, cost of goods and operating expenses for the third quarter do not include Intrinsix numbers, reflecting the Intrinsix business and the held for sale discontinued operation unless otherwise noted. Revenue for the third quarter was $24.1 million as compared to $30 million for the same quarter last year. The revenue breakdown is as follows; licensing and related revenue, reflecting 58% of total revenues were $13.9 million as compared to $18.7 million for the third quarter of 2022, but up 3% sequentially. The royalty revenue, reflecting 42% of total revenues, was at $10.1 million as compared to $11.4 million for the same quarter last year. However, this is the second sequential increase for the first quarter and second quarter of 2023. This supports the recovery we have seen in handsets and general IoT product demand in the third quarter. Quarterly gross margin on CEVA standalone basis, without the discontinued operation came in at 90% on GAAP and 92% on non-GAAP basis due to the lower service-related expenses. Non-GAAP quarterly gross margin excluded equity-based compensation expenses of $0.2 million and the amortization of acquired intangibles of $0.1 million. Total GAAP operating expenses for the third quarter was $24.4 million, lower than our guidance because of the exclusion of the Intrinsix business cost, actions taken by management to reduce costs and lower employee-related expenses. Our total non-GAAP operating expense for the third quarter, excluding equity-based compensation expenses and amortizations of intangibles were $20.4 million, also below the lower end of our guidance due to the same reasons I just explained. GAAP operating loss for the third quarter was $2.7 million, up from GAAP operating loss of $2.4 million in the same quarter a year ago. GAAP quarterly loss included equity-based compensation the amortization of acquired intangibles of $0.3 million and $0.1 million of costs associated with new costs. Non-GAAP operating income was $1.6 million compared to operating income of $7.3 million the same period a year ago. GAAP and non-GAAP tax expenses of $1.1 million was recorded, mainly associated withholding tax deducted by our customers that could not be utilized and were expensed. GAAP net loss for the continuing operations was $2.7 million, and non-GAAP net income was $1.4 million. Net loss for the discontinued operations of Intrinsix was $2.2 million and non-GAAP net loss of $1 million. Overall, GAAP loss was $5 million and diluted EPS of $0.21 for the third quarter of this year as compared to a net loss of $22.3 million and diluted loss per share of $0.96 for the third quarter of 2022. And our overall non-GAAP net income was $0.4 million and diluted earnings per share was $0.02 for the third quarter of 2023 as compared to a net income of $4.7 million and diluted earnings per share of $0.20 in the third quarter of last year. With respect to other related data. Shipped units by CEVA licensees during the third quarter of 2023 were 500 million units, our second highest quarter shipments on record, up 35% sequentially compared to the second quarter of 2023, of which we reported 370 million units and up 40% year-over-year from 357 million units. Of the 500 million units reported 79 million units or 16% for handset baseband, similar shipment volume to the second quarter. Our base station and IoT product shipments were 421 million units, up 45% sequentially from $291 million for the second quarter of this year and up 51% year-over-year from 279 million units a year ago. Bluetooth shipments were 313 million units for the quarter as compared to 210 million units for the second quarter of last year as many of our customers experienced strong sales resulting from consumer demand recovery for devices such as TWS earbuds, smartwatches and across consumer IoT in general. WiFi shipments were 24 million units as compared to 29 million units in the second quarter, and we are encouraged to see the number of WiFi 6 customers continue to ramp up their production targeting IoT and smart home with the transitional to the WiFi 6 standard is imminent. Solar IoT shipments were a record of 35 million units in the quarter as compared to 21 million units in the second quarter. This increase reflects that the market is becoming mature and the technology is making its way to more end products and consumer and industrial use cases. Other shipments under the base station IoT umbrella totaled 49 million units in the quarter. This includes our sensor fusion, computer vision, AI, audio 5G brand and DSPs for non-cellular communication, such as V2 times or vehicle to have anything, smart meters, satellites, and drones. As for the balance sheet items, at the end of the third quarter, our cash equivalent balances, marketable securities and cash deposits were approximately $132 million. In the third quarter, we continued our buyback program by repurchasing approximately 135 million shares for approximately $3 million. Yesterday, our Board of Directors authorized a new increase of 700,000 shares to the existing 10b-118 repurchase program. As of today, around 844,000 shares are available for repurchase, giving effect to this expansion, we believe in our future business prospects and plan to take advantage of the program to increase shareholders' value. Our DSOs for the third quarter were 31 days, below our norm and better than the second quarter, 47 days. During the second quarter, we used -- the third quarter, we used $1.3 million cash from operating activities, ongoing depreciation and amortization was $1.1 million and purchase of fixed assets were zero. The end of the third quarter, our headcount was 476 people, including Intrinsix's employees, of whom 391 were engineers compared to 497 people at the end of the second quarter. Now, turning to our outlook. CEVA, post divesting its Intrinsix's AMD service business will be able to present GAAP to non-GAAP accretive financials for 2023 compared to its previous consolidated financials and excluding the ongoing losses from its discontinued operation. Our gross margin will increase and get back to the 90-ish percentage level, cost of revenue and OpEx will also decrease, respectively. Overall, we are actively on measures to reduce overall headcount and expensive and monitor them closely in parallel to investing, enhancing marketing and licensing of our technologies. Our licensing and related revenue business has shown improvement in the third quarter, and we see a promising pipeline ahead of us for wireless connectivity and sensing AI technologies. In royalties, we anticipate consumer products and low-cost smartphone to maintain demand ahead of the upcoming holiday season, and we'll continue to monitor the 5G base station RAN market for any improvements. All-in-all, we expect fourth quarter overall revenue to be in the $23.3 million to $25.3 million range. Looking ahead, into next year 2024 and considering the investment on the Intrinsix service business, we would use the basis of the fourth quarter guidance for modeling 2024 with potential revenue growth as the year progresses. Gross margin are forecasted to be the 9-ish percent level. And overall, non-GAAP OpEx and cost of goods together, meaning all annual expense combined is forecasted at this stage to be flattish with 2023. Combining these, we expect operating leverage to improve over 2023 and we'll provide more detailed guidance for 2024 at our next earnings call. Specifically for the fourth quarter, gross margin is expected to be approximately 90% on GAAP basis and 92% on non-GAAP basis, excluding an aggregate of $0.2 million of equity-based compensation expenses and $0.1 million of amortization of acquired intangibles. OpEx for the fourth quarter is expected to be slightly higher compared to the third quarter due to G&A, professional costs and employee-related benefits and in the range of $24.2 million to $25.2 million, including a net expense -- expected $4.2 million of equity-based compensation expenses of $0.3 million for amortization of acquired intangibles. Our non-GAAP OpEx is also expected to be slightly higher than the third quarter for the reasons I just explained and in the range of $20.1 million to $20.1 million. I want to emphasize that overall expenses for CEVA post the divestment of Intrinsix are forecasted to continue and remain at the lower expense level as we look closely at cost measures. Net income is expected to be approximately $1.1 million interest income. Taxes for the fourth quarter is expected to be approximately $1.4 million, derived mainly withholding tax of new deals signed and reported royalties for the quarter and the share count for the fourth quarter is expected to be at 25.1 million shares. Rocco, you could now open the Q&A session, please.
Operator: Yes, sir. [Operator Instructions] Today's first question comes from Kevin Cassidy at Rosenblatt Securities. Please go ahead.
Kevin Cassidy: Yes, thanks for taking my question and congratulations on a good quarter in a tough market. And what we're hearing through this earnings period, it's a lot of slowing in demand from the IoT market, but here you are saying that you're shipping the second highest units in the company history. Can you explain why you're outperforming these markets?
Amir Panush: Yes, definitely. I would say several things related to that. One is that overall, we have really progressed well with our basically licensing of our Bluetooth and WiFi and the other wireless connectivity technology. So we have larger and larger customer base that are basically keep ramping their volume. So, that provides us the tailwind to keep increasing the volume. But also, we believe that our customer base, generally speaking, on average, are doing better than the rest of the market. We have -- they are positioned more competitively and are able to gain market share. So, that's overall for the phenomenon of this quarter, I would say. And the restocking that has happened in this quarter as well.
Kevin Cassidy: Okay, great. And maybe as a follow-up, just on your licensing business, can you say how much the US sanctions could be hurting your licensing deals in China?
Amir Panush: So, for now, they've not for two main reasons. One is the end markets. We target the consumer market, mainly automotive, industrial, medical and less of supercomputers, no business with the fabulous the fab industry and building fabs and no business in supercomputers. So most of the sanctions are targeting those markets. If you look at some of the other players in the EDA in the IP space that are similar to ours or they're seeing more or less the same things at this time. And for the time being, China is still an important market for us. It's a big market for us. And we haven't seen any specific restrictions for the markets and the technologies that we play in.
Yaniv Arieli: And to add on that, we have really been a very clear incumbency with our technology and previous licensing with a very broad customer base in the consumer markets in China. And actually, we see those customers coming back after a very good support and very competitive technology, asking for either an upgrade of this type of technology to the next basically standalone -- the next step in technology or asking for additional technology that previously we haven't provided them. As I shared previously, like some of our Bluetooth customers asking for WiFi, we see then some of them asking for UWB and then for AI capabilities and other type of technologies that we can offer.
Kevin Cassidy: Okay, great. Thank you.
Amir Panush: Thank you, Kevin.
Operator: And our next question today comes from Chris Reimer with Barclays. Please go ahead.
Chris Reimer: Hi. Thanks for taking my question. You mentioned the gross margin benefit from the sale of Intrinsix and a bit of reduction in costs relatively speaking. Can you give a little color on what other benefits you might be seeing in terms of changing the business in terms of sales and marketing, in terms of headcount that might change also because of the discontinued business?
Yaniv Arieli: Yes. Of course. I mean it's a completely different business model with a completely different customer base. Amir talked in the prepared remarks about what drove us to get into that, both the US market and the size of the customers in that space -- but the lead times to close the deal with the A&D is a very long process, getting new technologies or a new project agreed upon and then getting it funded through Washington is a long, long process. And it's completely different than the lead time to license the Bluetooth or WiFi or a modem for us that we just talked about and mentioned the different markets and life technologies. So first, the design cycle is shorter than the design itself. And of course, the end market is high volume compared to the AMD that is a very lucrative and high-end market, but the volumes there for royalties as our business -- the core business is an IP licensing and royalty business, that is something that we haven't seen and doesn't exist in the service business. So, from all different businesses together with the fact that if you have services, you record those cost of services in the cost of goods, and that reduces the margin of an IP business that is now back to the 90%, that's probably the combination lead-time, customer base, the magnitude of royalties that that we could generate from the -- from our existing customers and new ones in our space is a few of the benefits that I could highlight. Amir, anything here?
Amir Panush: I would say overall, the IP business model is much more leverageable and with that we can drive also better gross margin. We don't need basically so-called to have the people charging to cost of goods sold in order to develop the technology. We are more developing, innovating with R&D to build the IP and then we leverage that across a large number of customers that can also ship in high volume. Which is a better basically more for us has been and moving forward, even more focus.
Chris Reimer: Got it. Thanks. And just in relation to the combo deals that you mentioned earlier. Is this something that you're pitching as something that's already available together? Or is it strictly from a customer perspective, if they want two or three things, then they'll ask for it? I'm just trying to gauge the potential in terms of larger sales regarding combo deals. If you can give any color on that and what the potential is there.
Amir Panush: Sure, it's actually both. We have this quarter three business like that. We see customer demand buying more for different type of combos, especially specifically more WiFi-Bluetooth combo, but also we organically internally basically developing these technologies and offering at something available to -- for people to take advantage with fast time to market with a different type of combination of our core wireless technologies between WiFi Bluetooth 15.4 UWB and our Benet.
Yaniv Arieli: I would add to that, Chris, that we power to remind us all how the a billion devices do to last year is only about 100 million-ish WiFi. So one of the potentials in royalties is to catch up because WiFi came later to the consumer market. They are much more focused on residential and enterprise. And today, lots of consumer devices, automotive, almost everything around us has also WiFi and bots, connectivity and the volume opportunity for us with combo chips and standalone WiFi is a magnitude larger with higher ASPs. So, that's one of the advantages of these candles.
Amir Panush: It's definitely helped us with both licensing and what is moving forward as a Bluetooth customer asking for combos with WiFi and vice versa.
Chris Reimer: Okay, great. Thanks. That’s it for me.
Amir Panush: Thank you, Chris.
Operator: [Operator Instructions] Next question comes from David O'Connor with BNP Paribas. Please go ahead.
David O'Connor: Yes, good morning. Thanks for taking my question. One or two on my side. Maybe firstly, Amir, you talked about the revenue growth this year progresses in 2024. Can you just give us a sense of what those drivers are specifically from kind of end markets as you look into 2024? That's my first question.
Amir Panush: Yes, definitely, David. So, first, we really established a very strong leadership in wireless communication overall. As we just discussed on the previous -- related to the previous question, we see a lot of our customer base that have used our Bluetooth technology or WiFi are coming in asking for the other technologies. We see potential very good increase in UWB activities as well as some in urban IoT. We also see our five gene IoT in terms of the proliferation of 5G outside handsets and micro-based stations with significant opportunities happening in 2024. And last but not least, we have announced this year our new point products for edge AI. This product is basically becoming available in the market. We're engaging with multiple customers in terms of early qualification. And this is a growth engine for us as we go to next year. Overall, I will provide more details and explanation of all that in the coming Investor Day, and we really like to see everyone, and welcome, everyone.
David O'Connor: Thanks for that. And maybe a follow-on just on the WiFi side of things. Clearly, Bluetooth massively successful. Yaniv, mentioned $1 billion last year. I kind of watch the stage or what do we need to happen for kind of WiFi to reach that hockey stick where we're really talking kind of significant upward kind of shipments on the WiFi side of things. Is that revenue growth you talk about next year? Or is that kind of further out to kind of hit those of shipments?
Yaniv Arieli: Yes. So, we started with our WiFi meaningful penetration with WiFi four generation, but that was really the early stage of the penetration and a much more successful and broad-based penetration came with the transition to WiFi 6, and that's where we really started establishing our de facto leadership as an IP provider. Those licensing activities has been in the last two years. So, we are expecting the royalty growth to really pick up nicely in 2024 and then with that into 2025 and six even further. So I don't know exactly when the hockey stick will starts, but definitely we'll see a meaningful ramp in 2024, and that will continue into the next two years very, very strongly. The number of licensing that we have right now more than 40 and really across pretty much all the consumer and market segments as well as some automotive and other places. And considering it's across the different configuration of station and access points with much higher ASP on average than Bluetooth. That will be a very strong royalty growth for us in 2024 and moving forward.
David O'Connor: [Technical Difficulty]
Operator: David, I'm sorry, this is the operator. You're breaking up pretty badly, sir.
David O'Connor: Can you hear me now?
Operator: A little bit better. Yes, sir, please proceed.
David O'Connor: Just one quick one on the M&A, given the Intrinsix divestments, any change really on the strategy on the M&A side of things? Thank you.
Amir Panush: Yes, David, we will discuss it more on the Analyst Day. But generally speaking, I would say is that my focus with the team is really on IP business model and how we are going to leverage that. We have established in the last several years and more recently, a very, very well on machines of how to drive a good success of licensing and then from the royalty. And we strongly believe that are out there, very good assets related to that business model that we can go and create synergy and long-term success for our companies moving forward. So definitely, this is an important priority for me and the team.
David O'Connor: Thank you.
Operator: Thank you. And our next question today comes from Suji Desilva with ROTH Capital. Please go ahead.
Suji Desilva: Hi Amir, Yaniv. I echo my thoughts and hoping you and your families are staying safe. Can you talk about the licensing activity in China, the update there and whether there is a recovery there or pause or whether it's tracking as it has in the past?
Amir Panush: Yes, I would say that if you compare to last year or during the hype of COVID, it's definitely slower, and we shared it already last quarter and discussed it to some degree over the last few months. But I would say right now, from our perspective, that has stabilized. We see right now the demand stabilizing. As I mentioned, we really have a strong incumbency of customer base, and we see a strong demand from there to basically go to the next generation to add more technologies and investments in China, while it slowed down versus last year overall now it has stabilized. And companies are coming back to basically go to the next product that they want to deliver to market and go and ask for the IP that they need. We also see in China, the demand for not only connectivity, but also for edge AI and other technologies that we have. So, overall, it has stabilized and we have an opportunity to create growth as we go and progress in 2024.
Suji Desilva: Okay. Very helpful. And then I apologize if you already discussed this sometime late, but the wireless infrastructure opportunity, are there any tailwind opportunities into calendar 2024? I know that market is a little bit softer now in the demand perspective, but curious if that can recur or kind of revisit that in the calendar 2024 timeframe?
Amir Panush: The market again, Suji?
Suji Desilva: Wireless infrastructure, sorry.
Yaniv Arieli: Yes, this is a market that -- for years we've monitored. We have two of the biggest players in that industry. And that market is driven by orders and operators demand of the networks in a certain town, city, state, country, it varies. It started off with pretty strong investments in 5G in the last couple of years because of the hype and the demand and the advantages of the latency and much more bandwidth. And recently, they realized that there is no new killer 5G application that is needed for 5G networks. And we've seen maybe two quarters or some slowdown, especially in Q3, and we saw the report by the different players in the industry that the demand has softened with also different comments that it may be ramping up again to a better extent in Q4. So, it was never a seasonal market. It was ever cyclical market. It was based on demand every time or every year, it could be a different quarter that we had a very strong peak and we talked about the strong deployment of 5G base stations. Q3 was muted compared this year compared to Q3 last year, by the way. That was super strong. And it could change the quarter after and because there's still deployment of 5G worldwide for different use cases. We're not talking just macro base station, but also small cells and the market is there, the needs are there, but it varies from quarter-to-quarter and from operator-to-operator. And Q3 was very muted, and we hope that Q4 could be more and stronger. And we have other 5G players that not just in the baseband market that Amir also talked about in licensing that could -- and will start contributing royalties going forward.
Amir Panush: On a new basis comparison, definitely, we see a potential for growth in 2024. One that has been very muted this year. Second, as Yaniv mentioned, we see -- we have more customers that are going to ramp in 2024 outside the macro base station for 5G IoT technologies.
Suji Desilva: Thanks everybody.
Amir Panush: Thank you.
Operator: Thank you. And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Richard Kingston for closing remarks.
Richard Kingston: Thank you, Rocco and thank you everyone, for joining us today and for your continued interest in CEVA. As a reminder, the prepared remarks for this conference call are filed as an exhibit to the current report on Form 8-K and accessible through the Investors section of our website. With regards to upcoming events, we will be participating in the following conferences the Wells Fargo's Seventh Annual TMT sellers taking place November 29th in Rancho Palo Verde, California. Teva is hosting its Investor Day taking place on December 6th in New York and all investors are welcome to attend in person or via webcast. And finally, we'll be attending the Oppenheimer 4th Annual 5G Summit taking place virtually on December 11th. Further information on these events and all events we will be participating in can be found on the Investors section of our website. Thank you and goodbye.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.